Ana Soro: Good afternoon. I’m Ana Soro from Palantir’s finance team and I’d like to welcome you to our Second Quarter 2023 Earnings Call. We’ll be discussing the results announced in our press release issued after the market close and posted on our Investor Relations website. During the call, we will make statements regarding our business that may be considered forward-looking within applicable securities laws, including statements regarding our third quarter and fiscal 2023 results, management’s expectations for our future financial and operational performance and other statements regarding our plans, prospects and expectations. These statements are not promises or guarantees and are subject to risks and uncertainties, which could cause them to differ materially from actual results. Information concerning those risks is available in our earnings press release distributed after the market closed today and in our SEC filings. We undertake no obligation to update forward-looking statements, except as required by law. Further, during the course of today’s call, we will refer to certain adjusted financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for or in isolation from GAAP measures. Additional information about these non-GAAP measures, including reconciliation of non-GAAP to comparable GAAP measures is included in our press release and investor presentation provided today. Our press release, investor presentation and SEC filings are available on our Investor Relations website at investors.palantir.com. Over the course of the call, we will refer to various growth rates when discussing our business. These rates reflect year-over-year comparisons unless otherwise stated. Joining me on today’s call are Alex Karp, Chief Executive Officer; Shyam Sankar, Chief Technology Officer; Dave Glazer, Chief Financial Officer; and Ryan Taylor, Chief Revenue Officer and Chief Legal Officer. I’ll now turn it over to Alex for opening remarks.
Alex Karp: Welcome to our earnings. We are at a unique period at Palantir. Through the course of the last 20 years, we built what is in arguably one of the most interesting, impactful product offerings in the world, PG, Foundry, our target selection platform, Apollo. Our goal at Palantir was to be the most impactful, important software company in the world, a company transforming Western institutions and the underlying goal there was to make the West stronger and to make Palantir the most important software company in the world. In a weird way, in the last couple of months since we launched AIP since we had AIPCon. We have seen the way in which technologies we’ve built that seem to be of moderate utility were built almost in anticipation of the AI revolution, both algorithmatic and large language models. And that convergence has remade Palantir, taking Palantir away from its terminal value being it made the world better by making our institutions in the West stronger, more productive, more efficient, in some cases, more deadly to giving us the aspiration and realistic perspective of being the most valuable enterprise software company in the world. We see a market, especially in the U.S., which is hungry for an ability to apply AI, both large language models and algorithms to transform our businesses. I believe this transformation will change the GDP of America and that Palantir will participate in that -- in the delta between where the GDP is now and where, it will get to powered by unique technologies that are almost exclusively being built in the United States and are being adopted more rapidly and more efficiently with more vigor. Of course, there are headwinds. Many of the people and companies who have no product offer and do not have the technical capabilities to build them, are trying to slow down this revolution for the obvious reason that they’re not participating. And these tools are accelerating innovation, so that if you’re not participating, you’re literally standing still, while everyone is accelerating and there are no longer luxury products in the way people thought having world-class software was. So buying Foundry appeared to many institutions as well, of course, it’s the best product, but it’s -- it would require us to change how we function or change how we procure software. By the way, the large language model revolution has changed Palantir’s relationships institutions because we were misaligned for years and years with IT all globally. We were misaligned with the way in which we thought an enterprise should be run. But the way in which you actually can process large language models to get more exact, more precise, more operationally valuable insights, the way you can actually write them safely into your enterprise, meaning you can control your enterprise. The way you can turn them into Logic that allows you to power your enterprise, both in the read, write function with a governance that is mandated by law or by ethics. We provide those ways of working are exactly the ways we always thought one would have to work, but before the delta was insufficient. And then last not least, there’s no roadmap. Palace is the world’s best at no roadmap, innovation products built for a world where things disintegrate and you actually need to do things in the way they would be done in the natural state. So in the natural state, you would have something like Foundry, you would have an ontology, you would have AIP. Institutions in America are going back to their natural state, a state for which we’ve built products, especially in the U.S. We -- you see this in Palantir’s numbers. So why is that? Because we built products for the natural state of how an enterprise should work. That state is apparent to people because of the enormous power, the power to accelerate time to change your business using large language models, and therefore, it is something which people embrace. We’ve now moved from being and that product, our product, our culture fits both efficiently and in a way that’s prismatic to especially U.S. commercial institutions and also government institutions that are realistically aware of the dangers of adversaries who are cutting and exceedingly competent especially at technology. So this puts us in a remade transformed position where we can -- the aspiration of powering our most important institutions, which is clearly nowhere near done. So intelligence and defense has gotten us to the point where I think it’s indisputable that Palantir’s software in that space is the most important in the world. Now in -- while continuing to focus on that, we can focus on, okay, but given that we’ve built these precursor technologies, given that our product has moved from being nascent to having thousands of users, the AIP product, given that we believe that the reception to this is unlike anything we’ve seen in PG, Foundry, Apollo, target selection. And given the receptivity of the market, also not to mention that we have been profitable. Now we expect to be eligible for the S&P for several quarters. We’ve been profitable that we have over $3 billion in the bank. That positions us to fulfill our new aspiration allows us to see in the future how we would do that, which is to simply be the most valuable enterprise software company in the world and we are joyous for this moment. And thank you for being with us today.
Ryan Taylor: For the third consecutive quarter, our company achieved GAAP profitability and again maintained a GAAP operating income in Q2. This is a testament to our steadfast focus and commitment to delivering results and impact for our partners, all while innovating against the AI opportunities ahead. Last quarter, we hosted AIPCon, which convened over 150 unique organizations as we formally launched our new AIP product offering and customers demonstrated how we’re partnering with them to unlock the value of AI. For example, Jacobs Engineering highlighted how AIP is enabling them to monitor current system conditions and conduct future infrastructure planning in real time versus the months of analysis it would have taken previously. Similarly, J.D. Power’s Chief Digital and Technology Officer asserted that the advantage comes not from the AI models you can build, but rather how you apply them to the data you have and deploy it into applications. This is where true value is created for our customers and where we stand poised to help. The CEO of Novartis was recently interviewed on CNBC discussing our partnership in which we created an integrated data lake that they are now leveraging to move AI forward quickly within the company, which the CEO calls Novartis’ quote fundamental advantage over its peers. We launched AIP just 10 weeks ago and already we’re seeing unprecedented inbound interest. AIP is also opening expansion conversations with our largest, longest tenured customers as the new capabilities are causing them to reimagine how they can use our software. Looking at both existing and new customers, AIP is the solution for organizations who want to wheel the LLM securely in their enterprise. We remain focused on aggressively capitalizing on this momentum by driving compounding growth of AIP usage. As this fast-moving market evolves and expands, so too will we and it’s just the beginning. This increasing demand will be incremental to the results you see today. Our U.S. commercial business continues to deliver outsized results. With our rapidly growing customer count, we are seeing the beginning of the network effects in the segment, whether at events like AIPCon, through direct customer referrals to their network or by leaders working with us in one organization, taking us with them to their next one. We expect the expansion effect to be multiplicative. At the same time, we’re seeing success across many different industries. In Q2, we closed deals in U.S. commercial in roughly 30 different industries, including across pharmaceuticals, energy, consumer staples, utilities, healthcare, construction, automotive, transportation, infrastructure, the list goes on and spans industries and institutions at the core of today’s society. While we see the breadth of our software spanning industries, we still have immense opportunity for growth, both through expansion within these industries and growth in our existing customer relationships. For example, we’re beginning to see this growth come to fruition in both healthcare and transportation, which grew 93% and 129% year-over-year, respectively. Foundry is being used at numerous healthcare facilities to generate nurse schedules and forecast patient placements, among other applications. For example, with Foundry, HCA now generates nurse schedules in 1 hour each month instead of 10 to 20. Tampa General has seen a 28% reduction in patient hold times and has reduced the time spent managing patient placements by 83%. And Cleveland Clinic has been able to accept an 8.5% increase in patient transfers from other hospitals in just four months since launch. While we continue to increase our breadth and expansion across industries, we also continue to grow at our existing customers. We had over two dozen U.S. commercial customers that brought in more than $1 million in revenue each during last quarter alone and we’re seeing outsized growth from our newest customers, 54% of the U.S. commercial revenue, excluding strategic commercial contracts is from customers that have started since the beginning of 2021 with nearly all of the year-over-year growth coming from those same customers. We expect this trend to continue. We are investing in pockets of momentum within our international commercial business, such as Japan, Korea, Canada and the Middle East, among other targeted opportunities across the world. For example, through our go-to-market partnership, Fujitsu has seen recent success onboarding eight new large-cap household name Japanese customers. At the same time, we are seeing AIP lead to expansion conversations with our largest longstanding customers in Europe, all against the challenging backdrop of today’s climate. On the international government side, our U.K. Government business was particularly strong in Q2 as a result of our work with organizations such as the NHS and U.K. Ministry of Defense, including the Royal Navy. Within our U.S. Government business, while the revenue results in Q2 are disappointing, they belie the long-term strength of our business. We remain focused on converting significant deals in the pipeline and growing existing contracts through which we are core to the government mission. In Q2, we secured a multiyear contract award from the U.S. Special Operations Command worth up to $463 million, new contract awards for the Air & Space Forces of $110 million and conversion of Army Research Lab R&D funding to longer term work with COCOMs, starting with CENTCOM. We believe in the criticality and meaningful impact our work is having in today’s world events and its eventual monetization, as well as the exceptional user impact we deliver. At the same time, our U.S. Government business can be lumpy and we continue to expect there to be near-term uncertainty around timing of contract awards. Turning back to the overall business. We are excited about our vast opportunities in the quarters ahead. We’re already seeing that AIP will be transformational for our customers and for our business. We look forward to continuing innovating at the forefront through this revolution. Lastly, on the back of our inaugural AIPCon in Q2, we’re excited to share that we’re hosting two additional events to the next AIPCon on September 14th and a new event, the Software for Government, S4G Summit on September 21st, which is specifically designed for our government customers. We look forward to sharing a recap of the events with you at future calls. I’ll now turn it over to Shyam.
Shyam Sankar: Thanks, Ryan. At AIPCon this past June, we introduced Palantir’s AI platform, a core set of technologies designed to bring LLM to your enterprise to supercharge and accelerate your experiences from integrating data and hydrating our ontology to building AI-enabled applications and human agent teams with copilots. AIP enables you to deploy LLMs anchored in your data, on your private network and to safely orchestrate your enterprise with tools, actions and other AI models, all of this in a controlled, governed and trusted AI operating system. The accelerating pace of AI developments continues to be all inspiring. The key to capturing value is a fundamental recognition that we are dealing with something new and different that demand solving new integration and engineering challenges. It is, in many ways, easier to define an LLM by what it is not. It is not algorithmic reasoning. It is not human thought. Algorithmic reasoning operates as a process so well specified that there is no ambiguity in its execution like traditional code. Human thought is inherently creative and its previously most defining form natural language is inextrictably rat with ambiguity. Large language models occupy a middle ground between algorithmic reasoning and human thought. They are fluent in natural language, yet they don’t really understand what they say. They are not good at executing algorithms yet, they can be instructed in ordinary pros. They are something else, non-algorithm compute. LLMs are statistics, not calculus. And the introduction of even one stochastic variable into a deterministic system makes the entire system now stochastic. At AIPCon(2) in September, I’m going to unpack some of the foundational engineering challenges that we’ve solved to manage and harness the stochasticity of these models and to enable the acceleration in our products. We are focused on driving compounding usage across industries, the problems that matter haven’t changed. AIP and LLM radically accelerate the solutions. We are building on nearly 20 years of our products and experience solving these problems across more than 50 industries in every function in the value chain, only now doing it substantially faster. To name a few, a nurse shift handoff copilot for HCA, our pharmacokinetics translation assistant for Novartis, an inventory balancer copilot or a plant-based protein company, a supply chain copilot for a major beverage company. Our warranty claims copilot for U.S. auto manufacturer has made analysts twice as productive, saving them 3 hours to 4 hours a day. As J.D. Power’s CTO, Bernardo said at AIPCon, the beauty of having Foundry and AIP is that you can build this really, really quickly. So we built this in a matter of days and iterated in a couple of weeks. To get the precision of calculus in the power of statistics, LLMs need to be paired with algorithmic and software tools. For example, models of forward inventory or an action registry to execute enterprise functions, a rich semantic layer to define the proper grounding and crucial primitives like scenarios that allow LLM to stage changes on branches. AIP is not only the best tool bench in this context. It is a tool factory that enables enterprises to quickly forge new bespoke tools in hours. LMMs can’t, for example, calculate profitability or expected lead times, but they don’t have to. They need to have access to the software tools that can. This is why AIP is positioned to deliver outcomes so quickly. It elegantly integrates LLMs into the calculus of your enterprise to accelerate the workflows that matter. Every week, we are releasing more features and expanding the AIP productivity suite of applications, which provide Wizzywig, what you say is what you get experiences. AIP Builder allows you to build your data pipelines with natural semantics. AIP Terminal is the command line for your AI operating system, enabling you to dynamically wheel your ontology tools and applications for ad-hoc exploration and problem solving. AIP Logic enables you to build LLM-backed functions with rich tool composition in its developer tool chain. And AIP Automate, lets you turn those Logic functions into agents, copilots and automations. One more item in the suite I want to highlight. AIP Assist, which accelerates today’s users and users of AIP, Gotham and Foundry by providing help and helpers dynamically. AIP Assist is configured to be toolaware. So it knows not only everything from the product documentation, it also knows what actions it can take to manipulate the application state to actually resolve and advance the user’s workflow. This supercharges our users. And as a technology, it should be available for any software to incorporate to supercharge their users. In the second half of this year, we anticipate accepting beta customers who want to use AIP Assist as a service offering in their own software. Turning to Gotham. The latest investments in Gotham performed excellently at CENTCOM’s Digital Falcon Oasis and other exercise across combatant commands, including Global Information Dominance Experiment Series 6. We continue to invest in capabilities, delivering the next level of deterrents through the AI-enabled kill chain, inclusive of an integrated coalition deterrent. There’s a lot more to say here, but I’d rather hide our strength and bide our time against the adversaries. We continue to be very excited about Apollo. It continues to be a massive lever for Palantir internally, as well as a big market opportunity. Over the last few years, Apollo has allowed us to scale up internally for managing 15 high-side stacks to 82 without scaling our team. In the market, as more defense startups are born with the surge of VC investment in the space, we believe Apollo stands as the fastest and cheapest path to delivering new capabilities to regulated in the credit environments. And in Q2, we started seeing demand from the government itself as a customer. USG customers want to move existing services they manage into FedStart to reduce their own operating risk and compliance burden. In closing, we just wrapped up our annual Hack Week. Right after this call, I’ll be binge watching all the submissions from the teams internally. I’m very much looking forward to further acceleration of our roadmaps from compelling new ideas. I’ll turn it over to Dave to walk through the financials.
Dave Glazer: Thanks, Shyam. The second quarter of 2023 was exceptionally strong. We’re proud to report our third consecutive quarter of GAAP profitability and second consecutive quarter of GAAP operating profitability, generating $28 million of net income and $10 million of operating income. This also marked the third consecutive quarter of expanding adjusted operating margins, highlighting the operating leverage in our business. We surpassed the high end of our guidance for both revenue and adjusted income from operations yet again. We also achieved a significant revenue milestone, surpassing $2 billion in revenue on a trailing 12-month basis for the first time. We remain committed to driving profitable growth and we reaffirm our expectation of GAAP profitability in each quarter of this year, which would make us eligible for inclusion in the S&P 500 following our Q3 results. Turning to our global topline results. We generated $533 million in revenue, up 13% year-over-year and 2% sequentially, exceeding the high end of the range of our prior guidance. Excluding the impact of revenue from strategic commercial contracts, total revenue grew 16% year-over-year and 5% sequentially. Revenue from our largest customers continues to expand. Trailing 12-month revenue per customer from our top 20 customers increased 15% year-over-year to $53 million per customer. Customer account grew 38% year-over-year and 8% sequentially to 421 customers, demonstrating the momentum in our ability to onboard and convert new customers. Now moving to our commercial segment. Second quarter commercial revenue grew 10% year-over-year and declined 2% sequentially to $232 million, a challenging sequential compare as anticipated due to the $14 million decline in revenue from strategic commercial contracts. Excluding the impact from strategic commercial contracts, commercial revenue grew 19% year-over-year and 5% sequentially. U.S. commercial revenue in the second quarter grew 20% year-over-year and declined 4% sequentially to $103 million. Excluding revenue from strategic commercial contracts, U.S. commercial revenue grew 37% year-over-year and 7% sequentially, a result that is even more impressive when compounded with the 24% sequential growth we saw last quarter. Our U.S. commercial customer count grew 35% year-over-year and 4% sequentially, marking the 10th consecutive quarter of sequential growth. This highlights the velocity we are seeing in our U.S. commercial business, where we’re driving significant new customer wins and expansions. Our international commercial business grew 4% year-over-year to $129 million and remained flat sequentially. Relative to the U.S., we continue to see more muted growth with European commercial enterprises, although there remain targeted opportunities of growth internationally. Revenue from strategic commercial contracts was $19 million, compared to $33 million in the prior quarter. We expect third quarter revenue to decline to between $14 million to $16 million, and we anticipate fourth quarter revenue from these customers to continue to trend down. For the full year, we expect revenue for these customers to be approximately 3% of total full year revenue. Turning to our government segment. Government revenue grew 15% year-over-year and 4% sequentially to $302 million. U.S. Government revenue grew 10% year-over-year and declined 2% sequentially to $225 million. While we acknowledge that there are uncertainties associated with the timing of contract expansions and renewals, we maintain a strong pipeline of opportunities and remain confident in the growth of our U.S. Government business, particularly as USG TCV bookings grew 111% sequentially. International government revenue grew 31% year-over-year and 29% sequentially to $76 million. The reacceleration in our international government business was driven by our U.K. Government work. While our government business generally sees fluctuations due to the nature of funding and contract cycles, we remain confident that our work with the U.K. Government will continue to expand over the long-term. Turning to bookings. TCV booked was $642 million, up 62% sequentially. Billings was $603 million, up 52% year-over-year. We ended the second quarter with $3.4 billion in total remaining deal value and $968 million in remaining performance obligations. As a reminder, RPO is primarily comprised of our commercial business as it does not take into account contracts with an initial term of less than 12 months and contractual obligations that fall beyond termination for convenience clauses, both of which are common in most of our government business. Turning to margin and expense. Adjusted gross margin, which excludes stock-based compensation expense was 81% for the quarter. Adjusted income from operations, which excludes stock-based compensation expense and related employer payroll taxes was $135 million, representing an adjusted operating margin of 25%, 200 basis points ahead of the high end of our prior guidance and marking the third consecutive quarter of expanding adjusted operating margins. These results demonstrate our ability to drive revenue growth while efficiently managing costs with second quarter adjusted expense of $398 million, up only 9% year-over-year and down sequentially. We continue to manage expense growth primarily by driving leverage in G&A, capitalizing on cloud efficiencies and calibrating our headcount investments in key strategic areas of growth. Consistent with prior years, we expect to see an increase in expenses in the third quarter as we onboard our new grad cohort of world-class technical talent. As we have stated over the past few quarters, we are fiercely committed to sustained GAAP profitability. On the back of three consecutive quarters of GAAP net income and expanding operating margins, we are increasing investments and resources dedicated to our new product, AIP, while at the same time, increasing our full year adjusted income from operations guidance to an excess of $576 million, an increase of $45 million above the midpoint of our prior range. Looking ahead to the second half of the year, we remain focused on calibrating expense growth below revenue growth, even as we increase investment and resourcing to AIP and invest in specific geographies around the world. We generated income from operations of $10 million, our second consecutive quarter of GAAP operating income. We continue to manage our stock-based compensation. As mentioned last quarter, we expect it to trend up through the back half of the year. However, we remain laser focused on GAAP net income and operating profitability. As we think about equity compensation and aligning it to shareholder value, we are in the process of linking future employee equity compensation to the success of AIP. Turning to net income. GAAP net income was $28 million, our third consecutive quarter of GAAP profitability. Adjusted earnings per share was $0.05 and GAAP earnings per share was $0.01. Additionally, our combined revenue growth and adjusted operating margin was 38%. We expect to return to executing in access of the Rule of 40 for the second half of the year. Turning to our cash flow. We generated $96 million in adjusted free cash flow, representing a margin of 18% and $90 million in cash from operations, representing a margin of 17%. Through the first half of the year, we generated $285 million in adjusted free cash flow, representing a margin of 27%. We ended the second quarter with $3.1 billion in cash, cash equivalents and short-term U.S. treasury bills. We retain access to additional liquidity of up to $500 million through our revolving credit facility, which remains entirely undrawn. Now turning to our outlook. For Q3 2023, we expect revenue of between $553 million and $557 million, adjusted income from operations of between $135 million and $139 million and GAAP net income. For full year 2023, we are raising our revenue guidance to an excess of $2.212 billion. We are raising our adjusted income from operations guidance to an excess of $576 million and we continue to expect GAAP net income in each quarter. On the back of our third consecutive quarter of GAAP profitability, $285 million in adjusted free cash flow in the first half of the year and over $3.1 billion on our balance sheet, our Board of Directors has authorized a stock repurchase program of up to $1 billion. This program reflects our conviction in the trajectory of our business and the value we see in our stock. With that, I’ll turn it over to Ana to start the Q&A.
A - Ana Soro: Thanks, Dave. We’ll begin with a few questions from our shareholders before we open up the call. Our first question is from Gaurav [ph] who asks, what are some of the AI advantages Palantir has that none of the other companies can compete with?
Shyam Sankar: I’ll take that one. The Palantir is optimally positioned for AI, because the value is going to accrete to the incumbents. It’s going to accrete to the people who own the workflow, who own the software. So, in our case, it’s not just the customers that we do have today. It’s our ability to acquire future customers. It’s the 20 years of experience that we have solving the problems that matter. The problems that you should be solving with LLMs haven’t changed. The same problem you should be solving before you had LLM and the two decades of experience we have and the knowledge of applying it means that we can solve those problems substantially more quickly. In other words, we’ve built the infrastructure you really need for LMs to be valuable in your enterprise, if you want to write profits and not poems with them. And I think one way you can think about this is, LLM and Excel, like the LLM are going to make Excel more valuable and useful. They’re not going to replace Excel. The LLMs that we’ve been building with our customers in the field in the last 10 weeks, I’ve been out there with our customers, we deployed over 15 copilots. The time to value here is truly incredible. It’s accelerating everything that we’ve been doing here. So I feel really good about the positioning there. And because we’ve been roughly two decades ahead, it’s given us a lot of lead to think about the next ridge line of technical problems, a lot of which I hope to share at AIPCon(2). But to preview one of them, it’s really the KLM kernel. I talked earlier in the remarks about how LLMs are statistics, not calculus. They’re like these stochastic mad scientists. Why on earth would you ask a question of one LLM, when you going to ask KLLMs. And I think that really honors the fundamental reality that you need a committee here, that there isn’t an answer to this stochastic question, there are answers, especially when you don’t have priors. And you can use this to actually wheel these LLMs for decisive operational advantage in the enterprise when you have this sort of framework. So stay tuned till September, AIPCon(2), we’ll talk more about this.
Ana Soro: Thanks, Shyam. Our next question is from Patrick [ph] who asks, how is the use of AI and LLMs benefited the sales cycle? Are you finding less resistance from internal IT departments? Has it brought more awareness to Palantir products and solutions?
Ryan Taylor: Great. Thanks, Patrick. So, as I mentioned, we launched AIP just 10 weeks ago. We’re already seeing unprecedented interest both from top of funnel new customers and from existing customers who are looking to expand with the AIP offering. You’ve heard examples of very real momentum and engagement and impact we’re having with it from Jacobs Engineering, J.D. Powers, Novartis, among others, to name a few. And what we’re seeing is with the emergence of LMMs AI capabilities, operators and organizations are looking at ways to deploy those within their organizations effectively against their missions and do so safely and securely and we are that solution. We have the product to do that, and we have 20 years of experience deploying our products in the enterprise and being able to do that safely and securely. So while sometimes in the past, we may have had misalignment with IT departments, now we’re fully aligned with what they’re trying to achieve. So in short, we’re seeing sales cycles shorten. We’re expecting that to continue and accelerate and we’re going to run at that full speed.
Alex Karp: And look, we -- especially in the U.S. market, we were -- for a lot of reasons misaligned with our clients. We had built products both Foundry and the ontology branching and lots of ideas of how to manage large-scale data sets and then algorithm classified setting. But in reality, there was a resistance to how we believe an enterprise should work. And if you look at what Shyam is saying and what Ryan is saying, what you’re really seeing is American industry now has done five, six iterations, often with thin technologies, with thick sales forces that kind of have been supported by the venture capital community, and quite frankly, by analysts looking for models they understood. We built a company that no one understood. We went deep on technology, that’s Foundry. We went deep on the logical extension of that, which is all these precursor technologies that we’ve now begun building into AIP. And that -- we went deep against the playbook, and in fact, the playbook now does not exist, the playbook that is being built looks exactly like the products that are a reflection of our culture. And that’s just an insurmountable advantage and we are very focused on taking advantage of it.
Ana Soro: Thanks, Ryan and Alex. Our next question is from Emo [ph] who asks, how are you balancing investments for long-term growth, while also delivering the profit and performance needed to keep shareholders confident and invested?
Dave Glazer: I’ll take that…
Alex Karp: We are.
Dave Glazer: Yeah. We are. Thanks, Emo. And I think one example of this is, we delivered on GAAP profitability two issues before people thought it was coming. And then if you look to the last three quarters, we have three consecutive quarters of GAAP profitability. We’ve now guided to Q3 and Q4 of GAAP profitability. We’re here with $3.1 billion on the balance sheet and we’re doing this all while we’re investing heavily in AIP. And we’re really doing that across the company, both with money, both through resources and we’re very focused on.
Alex Karp: Well, I mean, we delivered profitability years ahead of time. Why do we care about profitability? We care about profitability because we power some of the most important enterprises in the world. They care that we’re on steady footing. We care about it because it shows people that we are serious. We care about it because it positions us to be on indexes like the S&P that show that we are one of the leading industries in the world. We believe in ourselves, which is why we’ve authorized a buyback to align with this belief in ourselves, our belief of profitability aligns with our desire to be on the S&P. We are going to invest in ourselves and not at a small scale in the lot $1 billion range. And so, profitability, stability, move to S&P, move to a company that is reflects what we will be, which we believe is the most important enterprise software company in the world and these are all very much linked.
Ana Soro: Thank you both. Our next question is from Jesse [ph] who asks, I know you guys are pushing for 5% of defense spending to go to software. How has this been received by policymakers in the defense community?
Alex Karp: We spend a lot of time talking to various parts of the U.S. and allied defense communities. And there’s, quite frankly, a varied views on this. Our view is software that’s actually used for important purposes, both commercial and non-commercial has certain attributes. Most likely built in America, it’s most like -- it is built in the product -- the context of a product and it’s been sold commercially. It is imperative for our country to move to a rebuttable presumption that the institutions that defend us by a certain portion of software that is a product more likely than not built in America, and that somebody has actually bought it besides some large program. And it’s surprising how many people agree with us. We’re a long way off from getting this done. But as our adversaries become more aggressive, as people come to terms with the fact that many of the things they may have learned in college that we’re going to all regress to a state of loving one another are not coming to pass, and in fact, our adversaries view that as a laughable ferry tail that we believe in at our own expense people are getting more serious. When people get more serious, they stop wanting fantasies, about how you build software fantasies, about how you implement fantasies about, you’re going to hire 10,000 people and give it to somebody that a company that’s never built a product that’s ever worked. And they -- but is that happening fast enough? No. Luckily for us, and hopefully, for our country and the West, people are getting much more serious just because of events that you see happening around us. If you have any additions?
Ryan Taylor: No. Well said.
Ana Soro: Thanks, Alex. Our next question is from Josh Mark [ph], who asks what’s the latest and potential S&P 500 inclusion?
Shyam Sankar: The latest is we expect to be eligible after we report Q3 and so we’re proud to say we’re less than a quarter away.
Dave Glazer: From eligibility.
Shyam Sankar: From eligibility.
Ana Soro: Thanks, Dave. Our next question is from Sony [ph], who asks, can you elaborate on current capital allocation priorities?
Dave Glazer: Absolutely. So, Sony, we’ve delivered three consecutive quarters of GAAP profitability. Looking at the first half of the year, $285 million in adjusted free cash flow, close to almost $1 billion since we’ve gone public. AIP is going to be transformative. You’ve talked -- you’ve heard Alex talk about the scale that we think is going to be. We’ve talked about reorienting the company around it, earlier I spoke about how we’re orienting our compensation about it. You combine that GAAP profitability, strong cash flow, AIP, the Board just authorized a $1 billion stock buyback, which aligns with our goal of S&P 500 inclusion.
Alex Karp: We are very focused on investing in ourselves. It is -- we are not as focused on acquiring other companies. We believe we have the right products and/or we will build them. So we are investing in what we do, what we believe are the best in the world, very little interest in products we see on the market. And so it’s really an investment in ourselves and our talent through changing the compensation and our ability to retain people by making sure we’re focused on a mission that is crazy important to us in the world in showing our belief with actual real attendees and running like hell.
Ana Soro: Thank you both. Our next question is from Dan with Wedbush. Dan, please turn on your camera and then you receive prompt to unmute your line.
Alex Karp: Hello?
Dan Ives: Yeah. Thank you. So a great call and just a phenomenal insight that you provided. I guess my question would be, when it comes to AIP, what surprised you, Alex and the team, in another words, the last 10 weeks, has it surprised you just what we’ve seen from customers just how dramatic the sort of surge interest has been?
Alex Karp: Shyam should also talk about this, but what has very much surprised me is the way in which American institutions have metabolized the lessons of the last software wave. So they have a much deeper understanding of what the problem would be that you would solve and the operators. So the people actually running the business in America realized the determinant variable for changing their margins, changing their profit and outmaneuvering their competition is AI.  And so then you have the dynamic with the Board. The Board is insisting on governance. The operators are insisting on adoption. And this is very, very different than anything I’ve ever seen. Typically, with software intervention from the outside, you’ve got to convince the CIO, the Board doesn’t care and the operator is focused on business metrics. Here, the operators are saying, I know, for example, I was dealing with a large -- I was talking to one of the largest transporters of people in the world, and the operator is saying, okay, I know we have a problem with churn. I know we have a problem with logistics. These problems can only be solved algorithmatically, but I can’t solve them unless I have a governance structure that allows me to solve them, because my Board will go nuts. That is basically a shape of a problem only we can solve and this is happening all over America, various problems like this. I’ll give you another example. One of the advantages of AI is that, if you want to do manufacturing, so you want to do Japanese manufacturing in America, you’re actually having to use Japanese methodologies with American workers. Share the force [ph] is not impossible. AI can actually allow you to manage the internal dynamics of your workforce so that you get the Japanese culture with American workers in the U.S. And this is just absolutely game-changing for our country. And why is it that -- now there are other countries, but Europe here is really going to struggle, but other countries, why is this game shaming particularly for America? Because it allows us to do manufacturing at a level we typically could not do in use cases that we were not good at. It allows us to change the margins. It allows us to do it safely. It realigns the institution. So now the IT person, the operator and the CEO are very focused on a use case that will change the share price. It’s very unusual for institutions to be fully aligned unless someone’s shooting at you. So the only institutions I’ve ever seen that are fully aligned, literally someone is shooting at you. And even then, the IT person is often like, well, why can’t I buy this from my cousins. It’s -- and literally, the special operator kicks the IT. So this is a completely different moment. And then I’ll say something else, typically, this moment would be captured by non-incumbents, people early-stage -- early-stage companies. But the market is moving too quickly. The barriers to get inside these companies are still there. And then the other incumbents, some of them are very interesting, but most of them just don’t build products. They do not -- they are companies with thin -- beautiful companies, they do things we can’t do, but they don’t really have many engineers. The engineers have been there for 50 years. They have huge sales forces. They cannot build something that’s relevant and if they could, it’s going to take years and there’s nothing to acquire. We’re not for sale.
Shyam Sankar: And on the ground working with customers, I would just add that, the ambition has gone way up. People expect this offer to work. They -- so they -- what do I expect of the software I’m getting from my IT organization has gone up and then the ambition of their own use cases. What do I want to accomplish with the software’s gone way up, so that’s created a lot of white space to go after? And then when you can deliver 15 copilots in nine weeks, it’s -- you just get so much more pull on that. The other part that’s been rewarding is like, we no longer spend time talking about why do you need ontology. We don’t even have to use that word anymore, because it’s intuitive, it’s obvious, the infrastructure we’ve built and how that enables you to actually accomplish these ambitious use cases. So it’s just been a huge tailwind for us.
Ana Soro: Thanks, Alex and Shyam. Our next question is from Mariana with Bank of America. Mariana, please turn on your camera and then you will receive a prompt to unmute your line.
Mariana Perez Mora: Good afternoon, everyone.
Alex Karp: Very nice to see you.
Mariana Perez Mora: So my question is going to be about AIP. You mentioned more than 100 organizations using it right now. How are you thinking about ratio and timing of commercial? And second, on the other conversations we’re having with, like, 300-plus organizations. How many of those are willing to use it on a Foundry platform versus the old?
Alex Karp: Do you want to take this?
Shyam Sankar: Sure. So the...
Alex Karp: Another way, it’s a pleasure to see you.
Mariana Perez Mora: Finally.
Shyam Sankar: We’re in the phase right now where we’re very focused on driving compounding usage of this. It’s like, we’ve done this with Gotham, we’ve done this with Gaia, with Foundry, with Apollo. And what we’re excited to see is that, we have over 5,000 monthly users. The users are growing 50% month-over-month. Obviously, we’ve been doing this for 10 weeks now. That’s quite a bit in the enterprise for the pace that we’re going at here. I think let’s look and see what happens in the next few months here, but we don’t think it’s going to be too long to kind of turn that corner. What was -- can you remind me the second part of your question?
Alex Karp: The way -- people don’t have Foundry, how does that look?
Shyam Sankar: Oh! I think the real focus on the AIP product strategy is to make sure that you can use AIP without Gotham, Foundry or Apollo. And that to the extent you see the value in these things, you’re going to pull them along with you. Now I think that’s where ontology has been most useful in both context. We’ve deployed operational workflows on classified networks using this technology in real-world exercises, that’s only accomplishable, because they’re standing on a decade of this well ontologized data and the kind of enterprise tools that they have for war fighting to accomplish those use cases. So when you look at the time to value, it helps them solve for their use case. The other part that I would point out is, people then see the value of bringing their own tools to bear. When I think about the work we’re doing with pharma companies and many of the AI models that they’ve already built, this actually helps them close that last-mile, where they feel like, look, we have these exquisite models. We have these libraries. How do we actually connect it to the business case of driving drug development more quickly? And then you see these sort of hybrid architectures emerging where you have AIP, you have Foundry, you have their homegrown systems, working quite harmoniously against the ambitious problem and so I think that’s been pretty productive. And I think the good part about this, because it’s so generative right now is that, there is no reference architecture. You’re not getting caught up in kind of academic questions of how should we design this thing. People are forging that and figuring that out relative to what works and delivers value.
Alex Karp: Let me just riff on that a little bit. We built this original project -- product, our first product guys off the ground made us famous in a very small market called clandestine services. And that project or product PG did something really interesting. It de facto taught the world what the use case is that you would need to solve and then provided the product that solved it. And that’s exactly what we’re doing with AIP. So you do have an advantage if you already have Foundry, because we’ve already kind of pre-taught you where the road is going to go. But right now, to Shyam’s point and point I made earlier, there is no roadmap. The product is actually teaching people what the roadmap would look like. That doesn’t mean everyone will buy AIP, by the way. So a lot of people say, okay, well, I need these 15 things. I need what Shyam’s calling intelligence the ability to interact with the LLM. I need an ability to take that out and turn it into Logic. I need an ability to run that on my enterprise safely. I need all these things and I want to spend some -- some people are going to say, I want to spend $500 million building that because I want to own it. A lot of those people will fail, some will succeed. A lot of the other people will buy it from Palantir, but we are de facto teaching people the, quote-unquote, roadmap of the way the world will look and the problems you have to solve and it teaches them, because you can show it live in action. And that’s what’s going on in the market and that gets to when we actually monetize this, we will monetize. Palantir is guilty of many things. People think they thought we were insane. Some people think I’m eclectic, some analysts think that I am talking something they’ve never heard of, right, often right. We have no problem monetizing. We make $2.9 million per commercial customer across the world. We will figure out how to monetize it. First, we’re teaching the market what it is. We’re getting people on Board. We’re showing people that these are the kind of problems you have to solve if you want to engage in actually making money as opposed to writing net poetry that may be scary to your enterprise and your Board won’t let you install anyway and then we will allow people then we will charge for that.
Ana Soro: Thank you both. Alex, as always, we have a lot of investors on the line. Are there any other thoughts you’d like to share before we end the call?
Alex Karp: Well, as usual, I’d like to thank our -- many of our supporters, our clients who’ve seen this transformation and supported it, who are adopting AIP. The Palantirion team, which goes through the vilcistitudes of our ships and now is fully aligned on building AIP. Our retail investors who I think have been way ahead of everyone else in understanding the product, actually testing it, looking at it, calling customers, and in general, the spirit of American innovation from which we are profiting and thank you for your time.
Ana Soro: Thanks, Alex. That concludes Q&A for today’s call.